Operator: Good morning. My name is Kim, and I will be your conference operator today. At this time, I would like to welcome everyone to the CarMax Fiscal 2019 Fourth Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. I would now like to turn the call over to Katharine Kenny, Vice President, Investor Relations.
Katharine Kenny: Thanks, Kim, and good morning, everyone. Thank you for joining our fiscal 2019 fourth quarter earnings conference call. I'm here with Bill Nash, our President and Chief Executive Officer; and Tom Reedy, our Executive VP and CFO. Let me remind you that our statements today regarding the company's future business plans, prospects and financial performance are forward-looking statements that we make pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are based on management's current knowledge and assumptions about future events that involve risks and uncertainties that could cause actual results to differ materially from our expectations. In providing projections and other forward-looking statements, the company disclaims any intent or obligation to update them. For additional information on important factors that could affect these expectations please see the company's annual report on Form 10-K for the fiscal year ended February 28, 2018, filed with the SEC. Thank you in advance for asking one question, as usual, and getting back in the queue for more follow-ups. Bill?
Bill Nash: Great. Thank you, Katharine. Good morning everyone, and thanks for joining us. Today, I'll start with the fourth quarter highlights. After that, I'll turn the call over to Tom and he will discuss SG&A, investments in consumer finance, and then I'll share an overall update on our omni-channel rollout, which has been very well received, and then, as always, I'll open it for your questions. Starting with the fourth quarter results, I'd like to reiterate what I said in the earnings release. We are pleased with our double-digit pretax earnings growth, even after adjusting for the discretionary bonus we paid last year to eligible associates. We achieved this in the midst of continued investments in our business and our associates. This is a testament to the strength of our diversified business model and ongoing focus on operational efficiencies. Used unit comps grew by 2.8%, compared to a negative 8% in the prior year's fourth quarter. They were driven by strong conversion, partially offset by lower store traffic. While we were pleased to report positive comps this quarter, we believe they were affected by delays in the February tax refunds relative to last year, continued higher acquisition prices, and a robust competitive environment. Total used units grew by 5.6%. As you know, we track market share data on a calendar year basis, and report it once a year in the fourth quarter. Our data indicates that our share of zero to 10-year-old vehicles in our current comp markets fell from approximately 4.5% in 2017, to 4.4% in 2018. While this is disappointing, the decrease in share occurred earlier in the year and started to reverse in the second-half of the year when we saw share gains.  This year's decrease was in comparison to an almost 7% growth in comp market share in calendar year 2017, which was our largest increase in four years. Our website traffic grew in the fourth quarter by 13%. Our retail gross profit per used unit remains stable at $2166 compared to $2,147 last year. As we've shared in the past, there are two primary factors that impact our decisions around gross profit per unit. The first is ensuring that our prices are competitive in the marketplace. Second, we focus on optimizing total gross profit dollars by balancing margin per vehicle and unit sales. We are confident in our price competitiveness, but as always, we will continue to monitor and test pricing elasticity. Wholesale units grew by 3.7% compared to last year's fourth quarter, and gross profit per wholesale unit grew to $977 this quarter, compared to $946 in the prior year period. Other gross profit was a strong contributor to the quarter, increasing by almost 42% or $32 million. As we mentioned earlier this year, we secured provider cost decreases related to EPP revenues. We used a portion of these funds to improve the margins, and the remainder to selectively reduce prices which drove increased penetration. Service margin benefited from comp sales growth as we were able to leverage service overhead, and third-party finance fees benefited from the shift in our sales mix by finance channel. This explains the majority of the increase. The remainder relates to a positive adjustment to our EPP cancellation reserve as a result of our annual model update, and a discretionary bonus of approximately $4 million that we paid to our service department associates in last year's fourth quarter. Before I turn the call over to Tom, let me discuss our sales mix and store openings. As a percentage of our sales, zero to four year old vehicles decreased to about 72% versus 76% in the fourth quarter of last year, and 77% in the third quarter. Total SUVs and trucks accounted for about 46% of our sales up from 43% this time last year. During the fourth quarter, we opened five stores, which included three stores in new television markets, Buffalo, Montgomery, Alabama, and New Orleans. We also opened stores in our existing television markets of Orlando and Portland, Oregon. During the first quarter of fiscal ‘20, we plan to open three stores one of which we opened earlier this week and represents our second store in the Memphis market. We will also open two stores in Texas, which are new markets, Waco and McAllen. Tom?
Tom Reedy: Thank you, Bill. Good morning, everyone. On SG&A, expenses for the quarter increased 5% to $429 million. Factors increasing SG&A expense in the fourth quarter included the opening of 19 stores since the beginning of the fourth quarter of last year, which represents a 10% growth on our store base. Our continued investment in technology platforms and digital initiatives, and an increase of 33.9 million or $19 per unit related to share-based compensation expense. SG&A per unit was 2,380, a $17 decrease year-over-year. We are pleased to show SG&A leverage as it demonstrates that we are able to offset some of the growth in spend with efficiencies and staffing optimization. I'll remind you that within the comp and benefits line, prior year amount included roughly $4 million of the discretionary annual bonus that was paid to eligible associates last year. Also the timing of our advertising spend last year was weighted towards the end of year, which accounts for the relative lack of growth in advertising dollars this fourth quarter. We continue to invest in three primary areas, our associates, our legacy systems, and our digital initiatives. For associates, this includes a variety of wage adjustments and healthcare plan enhancements. Our associates are vital to our success, and maintaining a very competitive compensation and benefits program is key to attracting and retaining the best talent. In order to execute our omni-channel vision we must continue to upgrade our legacy operating systems. While this spending won't offer short-term return it is critical to our future competitive position. We will also continue to invest in digital initiatives. We are developing and implementing tools that help our associates be more efficient and effective. In addition, we continue to introduce online enhancements to improve the customer experience. Now moving over to CapEx, we expect to spend 350 million for fiscal 2020 that's roughly $50 million above FY 2019 and the spend includes a shift in some spending originally planned for fiscal 2019. The 13 FY 2020 stores plus planned acquisition for future openings and three customer experience centers. Looking out to fiscal 2021, we are in a position to open a similar number of stores as we are targeted in the last few years. However, our business model is clearly evolving and we will continue to evaluate both the number and type of locations we need going forward. Finally, we plan to support shareholder returns by continuing to invest in our capital structure. During the fourth quarter, we repurchased 4.4 million shares for $270 million. For the full year, we returned 903 million buying back 13.6 million shares compared to about 9 million in FY 2018. While maybe stating the obvious the return on this investment shows up in the difference between net income growth and EPS growth roughly 6.5 percentage points for the fiscal year. We have over $2 billion remaining in our current stock repurchase authorization. Now moving to capital and financing results. Our third-party lending partners continued their strong performance. Tier 2 executed especially well year-over-year accounting for 19.5% of used unit sales compared with 15.4% last year, while Tier 3 represented 10.7% of sales compared to 11.7% last year. Their performance is measured by sales applications continues to be very solid. CAF penetration net of three-day payoffs was 42.1%, down marginally from last year's fourth quarter. CAF net loans originated in the quarter grew by 4.5% to $1.5 billion. The modest decline in penetration slightly offset our sales growth and the small increase in average amount financed. Capping up, income increased $2.6 million to $104 million. This was result of the growth in average managed receivables partially offset by the continued slight compression in portfolio interest margin. Total portfolio interest margin was 5.5% of average managed receivables compared to 5.6% in both the fourth quarter of last year and this year's third quarter. For loans originated during the quarter, the weighted average contract rate charged to customers was 8.7% versus 7.9% a year-ago and 8.5% in this year's third quarter.  A provision for loan losses at $42 million grew in line with the portfolio and the allowance for loan losses was 1.10% of any managed receivables consistent with both last year's fourth quarter and with the third quarter. Now I will turn the call back over to Bill.
Bill Nash: Thank you, Tom. As you all know we've been laying the groundwork and building towards the development of a new experience for the past couple of years. To launch it successfully, we took a number of steps including forming our product organization, upgrading our technology and then leveraging these to construct new digital capabilities and online consumer experience offering. These investments are essential to our vision for the future. Spending for FY 2020 like in FY 2019 will represent a step up in investment. So we believe we will acquire comps in the range of 5% to 8% to leverage SG&A similar to our thinking for FY 2019. We expect the amount of growth in the spending to slow in FY 2021 and taper after that. We will continue to look for opportunities to reduce ways and reprioritize spend which contributed to our ability to leverage this fourth quarter. Now let me talk a little bit more about Atlanta and our omni-channel rollout. Please remember that Atlanta is one market and we've only had a few months of experience to evaluate. With that said, we are very pleased with our performance. In conjunction with the launch of omni-channel, we introduced a number of other elements including increased free transfers, a new Web site, a new advertising campaign and pricing test. In the fourth quarter, we achieved double-digit growth in both comp sales and appraisal. This increase was beyond what we would have expected to gain. We are also pleased with the high conversion on home delivery sales although it represents a very small percentage of overall sales at this point. In comparison to our stores in the Atlanta market, our home delivery finance penetration is similar while MaxCare penetration is little lower. Keep in mind, I normally don't give market specific details nor do I plan to change this practice going forward. But given the interest in this new initiative I wanted to give a little more context. We also know that we will be less efficient in some of our operations in the near term as we roll out the omni-channel experience. Some of these inefficiencies are by design and some are simply those related to starting up a new capability. As a result, our sales in the Atlanta market are a little less profitable per unit compared with other markets at this point. We do believe that we will be able to improve on this as we continue to roll out omni-channel and as our consumer experience mature. We also believe this unique experience could be more efficient than our current model. We have a strong track record of operational excellence and we are confident in our ability to optimize. Most importantly, after seeing the results so far in Atlanta, we are even more confident that this is the right direction. We believe that the omni-channel experience will be one of the key levers that helps drive comp sales and market share growth going forward. Now, let me let me talk about the next steps. This fiscal year we expect to open three CECs or Customer Experience Centers across the U.S., each will have an average staff of 300 associates and will serve multiple states. Our experience in Atlanta suggests that we will be able to offset these additional associates with a reduction in sales consultants in omni-channel stores which will be realized through normal attrition. So first CECs will be in Atlanta and we'll open early in the second quarter as it supports the next phase of our omni rollout, which will include Florida stores. We also expect to open the second CEC site in Kansas City later in the second quarter, and we are currently working on the third site. As we previously said, we plan to bring the omni-channel experience to the majority of our customers by February, 2020. As I've often talked to you about before, we are leveraging the strengths of the CarMax model that we've built over the last 25 years to deliver this new experience. Strengths that include our skilled and knowledgeable associates, our national footprint and transportation infrastructure, our inventory scale and merchandising capabilities, our continued investment in technology and digital capability, and our industry-leading brand. These strengths are not only critical, but essential to delivering an omni experience, an experience that's tailored to every single customer. An experience that is unmatched and we believe will be the future of car buying. Now, we'll be happy to take your questions. Kim?
Operator: [Operator Instructions] Your first question comes from Sharon Zackfia from William Blair. Your line is open.
Sharon Zackfia: Hi, good morning.
Bill Nash: Good morning, Sharon.
Sharon Zackfia: Thanks for the color on Atlanta. I guess just a multifaceted question to keep in line with Katharine's rules around Atlanta. Could you give us some color on what the comp trend was before omni-channel? So, it's helpful to hear about the double digits, but I don't know if Atlanta was like similar to the overall company prior to that, just so we can understand the amount of improvement you saw when omni-channel rolled out. And then secondly, could you give a little bit more color around that discussion about Atlanta being a little bit less profitable on a per car basis. Are you talking just gross profit per car or all-in on a per car basis? And ultimately, do you think omni-channel is similar to your current model in terms of profitability?
Bill Nash: Sharon, you're really pushing Katharine's…
Sharon Zackfia: Well, she's retiring soon, so.
Bill Nash: Let me talk about the comps. First of all, I'm not going to go into any real detail on the comps, but I'll give you a little color, in that we have a control group obviously that we look at. And we're very pleased with the lift that we saw beyond the control group. As far as the profitability, when I talked a little less profitable, that is all-in, so that's looking at SG&A, that's looking at margin. Truthfully, on the SG&A pressures, as I addressed in my opening script, we feel like we can at least offset those, and we feel like this model could be more efficient. And as far as any type of margin pressures, those are two different, whether you roll omni out and have decided to do something different margin, those aren't dependant one on -- or the other.
Sharon Zackfia: Yes, thank you.
Bill Nash: Sure.
Operator: Your next question comes from Brian Nagel from Oppenheimer. Your line is open.
Brian Nagel: Hi, good morning.
Bill Nash: Good morning, Brian.
Brian Nagel: Nice quarter as always. I want to follow-up on Sharon's questions, I'll try to put mine all under one as well. But with regard to Atlanta and that double-digit comp, can you talk about what, of all the facets, if you will, of the omni-channel effort in Atlanta, were you able to isolate what are the most important facets that's helping to drive that comp? And to what extent is that improvement in sales reflective of you speaking to or connecting with potentially a new customer for CarMax?
Bill Nash: Yes, so Brian, the different facets, when we implement, for example, advertising or we do something different on free transfers, we know kind of what we would expect to see. We have some expectations of what we would see. And when you look at each one of those individually, add it up, we saw a lift beyond what we would normally expect to see. So, I think that's something when you look at the sum of the parts it's more than any individual component. And what was the second part?
Brian Nagel: I'm sorry. With regard to is it a new customer, is it just helping to drive that comp, is it a customer that maybe CarMax in the past would not have connected with?
Bill Nash: Yes, at this point it's hard to tell. And the only thing I would say it we've seen some instances on home delivery that we probably are picking up some customers that maybe we wouldn't have because they physically couldn't have gotten into the store. But this experience is much more than just home delivery and I think it's a better experience for the customers.
Brian Nagel: Got it. Thanks.
Bill Nash: Sure.
Operator: Your next question comes from the line of Craig Kennison from Baird. Your line is open.
Craig Kennison: Great. Thank you for taking my question. Bill, you had mentioned that you had a modest share decline on the year. That's a bit of a surprise given you opened 10% more stores. What do you think caused you to struggle early in the year, and then what changed to reverse it?
Bill Nash: Well, hey, Craig. Just to clarify. I talk about comp growth, nationwide market share actually went up a little bit, but the comp markets went down a little bit. And as I said in my remarks, we saw those declines earlier in the year, and then we started to -- saw a reversal towards the latter half. And I think we've been in an unusual pricing environment the whole quarter, really starting off in the first quarter of this year. And different organizations manage through that differently. Some may give up margin for sales, for example, and our pricing elasticity tests wouldn't support that. The other thing is I just think that it's been a competitive environment overall. Look, this is a good business to be in. And I think the new cars are under a little bit of pressure. And so I think we have some new entrants, I think we have -- there's some more advertising. There's just more general noise overall in the marketplace. So, I think those are both contributing factors, especially early on as we saw different competitors pull different levers.
Craig Kennison: Thank you.
Bill Nash: Sure.
Operator: Your next question comes from the line of Rick Nelson from Stephens. Your line is open.
Rick Nelson: Thanks. So, Bill, can you talk about three CECs that you're going to roll out 300 associates per CEC. Are you going to be able to pull out a like number of associates out of the stores or how do you see that affecting expense?
Bill Nash: Sure. We absolutely expect to pull out a like number, at least a like number. Again, what we've seen so far in Atlanta, if you think about the way we staff a store currently, we staff it for what we call e-office shifts, shifts where people take phone calls and follow-up on e-leads. We no longer have to staff that. So, we will get to the appropriate staffing levels in each store through normal attrition. So we would expect to offset the store staffing with what we have in the CECs. And I think over time this will be a more efficient model, because if you think about it, we have more than 7,000 sales associates across the country. And we're currently asking them all to be part-time e-office sales associates. And some like it, some of them don't, some are good and some aren't so good. So, I think by leveraging folks that are very skilled at this, this is all they focus on, over time will give us even more leverage.
Rick Nelson: Great, thanks. And good luck.
Bill Nash: Thanks, Rick.
Operator: Your next question comes from Scot Ciccarelli from RBC Capital Markets. Your line is open.
Beth Reed: Good morning. This is Beth Reed on for Scot. I wanted to ask about online marketplaces, like CarGurus. I know you guys have kind of indicated that changing up your merchandizing on these sites and better advertising your quality message could help improve the price perception, because in many cases it doesn't seem like you're getting the credit you should be getting for your reconditioning processes. So just wondering, one, how big of an impact do you think this is having on your sales? And then, two, any color you can give around specific initiatives, if any, and timeframe to improve your "Value ranking" on these listing sites would be helpful. Thank you.
Bill Nash: Sure, Beth. First of all, we feel good about our prices. That being said, we're always making sure that we've got a good price perception. We want to make sure that the customers understand the value of our cars. So there's really four focus areas that we're working on, one of which you alluded to. But first, we're focused more on the quality message and transparency on our Web site, and we're already doing this. As a matter of fact, we rolled out a new Web site nationwide at the latter part of the quarter. We're also focusing more on quality and transparency in our non-Web site advertising, so TV, banners, retargeting things like that. The third thing, which is what you alluded to, is we're working with third-party listing sites to get the credit for our quality standards and the reconditioning that we do. Most third-party Web sites, they don't factor any type of quality or condition into their algorithms. Or if they do, it's not on a consistent basis. So, I feel really good about all those things, we're making great progress. And it may be a factor, but I just don't think it's -- to your other question, I just don't think it's had a major impact on overall comps.
Beth Reed: Okay, thank you very much.
Bill Nash: Thank you.
Operator: Your next question comes from the line of Seth Basham from Wedbush Securities. Your line is open.
Seth Basham: Thanks a lot, and good morning.
Bill Nash: Good morning, Seth.
Seth Basham: Bill, can you just give us an update on what your internal research has shown in terms of the price perception out there of your cars relative to the industry? And then secondly, on your price test in Atlanta, and otherwise, what you're learning from those?
Bill Nash: Okay, the first part of your question on just the research, what our research would tell you for example on like a car groves, our most recent research would tell you that the majority of our cars are either fair, good, or great and that's without any -- at this point without any credit for the quality. I am sorry, what was the second for your question?
Seth Basham: The pricing tests?
Bill Nash: Oh yes, the pricing tests that I noted, that's part of our normal pricing tests that we do all time. Look, we can drive more sales absolutely just by lowering our prices, but again is that balance of optimizing our total gross profit, total gross profit dollars while also making sure that were competitive in the marketplace and competitive in the marketplace doesn't mean on short-term periods like quarter to quarter. We're looking for structural changes where we may not be competitive we just haven't seen that so we feel really good about where we are in price and what we're seeing on our pricing test as far as normal elasticity.
Seth Basham: Thank you.
Operator: Your next question comes from the line of Armintas Sinkevicius from Morgan Stanley. Your line is open.
Armintas Sinkevicius: Hey, good morning. Thank you for taking the question. I was curious about how much you had spent on marketing in Atlanta and how you plan – how much you plan to spend going forward. And then just separately any comments on the phasing of the launches for the omni-channel initiative through the course of this year?
Bill Nash: Okay so marketing in Atlanta, Atlanta is what we call high awareness market. If you think about we spent is in conjunction with this it would have been normal to like a geo proven to be going into Atlanta. Which is a step up obviously then what we are paying going forward as far as what will spend in additional market every market is going to be a little bit different because it depends on the awareness of what we were previously spending there. As far as the phases of rollout like I said, we will get the second CEC opened early in the second quarter and in conjunction with that we will start rolling out two additional stores with Florida stores being first. Beyond that we'll update you next quarter the cadence of the other stores the stores we already did by the end of the quarter as well as the future stores.
Armintas Sinkevicius: Okay, and just so I am clear that the marketing you've been spending at Atlanta, does that amount to essentially what you're planning to spend on a run rate basis or will that step up as you sort of work through maybe the various kinks with all of the Web site and the market et cetera?
Bill Nash: No I think you should think about a more holistically as part how much we spend in advertising on a per-unit basis. And if you look at year-over-year I would expect FY 2020 -- there maybe a little bit of an increase in the per unit advertising expense overall because we do want to support our omni-channel rollout. So I would expect a little on a per unit basis going forward.
Armintas Sinkevicius: Got it, thank you.
Operator: Your next question comes from the line of John Murphy from Bank of America. Your line is open.
John Murphy: Good morning, guys.
Bill Nash: Good morning.
John Murphy: Just wanted to touch on one stat just to make sure had these number straight Bill. I think you mentioned the zero to four portion of your sales was down at 72% versus 76% last year and 77% in the third quarter. I just want to make sure I have that right and if we think below that sort of what the percentages are, and really as you look at the market I mean as vehicle quality has improved so dramatically in the last decade. Could you consider going down a little bit further in the age spectrum because the quality of the vehicle is going to be still really what you want to deliver to the customer nearly new used vehicle. And just really sort of tip of the iceberg might be much, much larger for you over time as you down age spectrum?
Bill Nash: John, you do have those percentages right, the 72 versus the 76. And look the beauty of this business model as we can sell what the customers are looking for. And this quarter we saw consumers that were interested in a little bit older vehicle. I think part of that is because of the pricing. Keep in mind we're lapping if you look at year-over-year this fourth quarter versus last year's fourth quarter. We have the largest step up in mixed adjusted acquisition price its more than $500. If you look at the quarter this year, we still had a little bit of an incremental bump up on that one that we had last year. So prices are still expenses so I think what you're seeing is probably people just from affordability standpoint moving down. But you're obviously right we'll be able to secure vehicles and sell them if that's what consumers are looking for.
John Murphy: Bill, just to want follow-up, I mean is the beauty of that, that you know that you might be able to have lower acquisition prices in the future with this high-quality product and still have the same dollar grosses and have a much more capital efficient business model?
Bill Nash: Well, if we would -- if we continue to have older vehicles, our overall average selling price, you're absolutely right, would go down.
John Murphy: And grocers which stay about the same, right, just based on your focus, and what…
Bill Nash: Absolutely.
John Murphy: Okay. Thank you. Thank you very much.
Bill Nash: Thank you.
Operator: Your next question comes from the line of David Whiston from Morningstar. Your line is open.
David Whiston: Thanks. Good morning.
Bill Nash: Good morning.
David Whiston: Just question with new vehicle sales coming down, is that all positive for you right now is it greatly helping you do two more awfully supply and more budget conscious consumers you were just talking about? Or do you think also consumer confidence is down marginally versus a year ago?
Bill Nash: No, I think. I mean, if I look at the new car, I think it's been a pretty, pretty flat year for overall new car sales. I think we've proven that in years where it goes up a little bit, years where it goes down a little bit, we've been able to have success on both sides of that. And as far as I can tell, consumer confidence is still very, is still very strong.
David Whiston: Okay, thank you.
Operator: [Operator Instructions] Your next question comes from Chris Bottiglieri with Wolfe Research. Your line is open.
Chris Bottiglieri: Hi, thanks for taking the question. Given the comparisons on a tier basis to the Atlanta's comp performance outperform the rest of the surveys by a similar amount as it is on a one-year basis. Then I guess, thinking through that, is there any other reasons why investors shouldn't extrapolate Atlanta's comp trend to the rest of the store base given your intentions to roll it out to all stores this year? Thank you.
Bill Nash: Yes, Chris. Atlanta is one market and every single market is going to perform differently and the reason I say that is because we have experienced a lot of different markets and you just look at the core business each market performs a little differently, so I don't think you can extrapolate what we see in this market versus what we're going to see in other markets which is why I say, "Hey, remember this is this is only one market." And again, on the double-digit comp increase, we feel really good about that, we feel like it's a lift to bubble, we expected when we also compared to the control group. So we -- and it's not all due to omni, as I, said earlier is there's a lot of different elements playing into that.
Chris Bottiglieri: Got you. Okay. And then just quickly, if you're able to -- well, I'll hop back and want to recap just real, I'll hop back in. Thanks.
Operator: Your next question comes from a line of Seth Sigman from Credit Suisse. Your line is open.
Seth Sigman: Thanks. Hey, guys. I wanted to follow up on the expense growth. So the 5% to 8% comps you need to leverage SG&A, I guess you said that similar to 2018, you also discussed being less efficient in the short-term, right? so how do I reconcile those two and if there are some levers that may be limit the negative impact from the investments, can you just sort of help us understand that? Thanks.
Bill Nash: Yes, I think that you know the guys on the five-day was really to help clarify a little bit of what we are saying because we were saying high mid-single digit. We put a little range on there and I think we put the range on because it just somewhat depends on how much we get done and then also how much we can continue to offset through re-privatization and savings.
Seth Sigman: Okay, I'll hop back in. Hold on. Well I mean may be on the same point if you could give us a sense of the timeline of the investments throughout the year to the extent you can particularly with the CC is rolling out in the second quarter just how do we think about the cadence of maybe expense growth throughout the year.
Bill Nash: Yes, it's -- I'm not going to give any guidance on how I think it's you know. We just have to wait and see, it's going to be distributed throughout the year, as I said, well, there is going to be some additional expense. They're going to be some in the second quarter; you're picking up some there. So I think you got to think about it on the whole year because there could be a little timing from one quarter to the, to the next quarter.
Seth Sigman: Okay, thanks.
Bill Nash: Okay.
Operator: Your next question comes from a line of Chris Bottiglieri from Wolfe Research. Your line is open.
Chris Bottiglieri: Hi, thanks for taking the question. So it's quick question, you -- can you may just walk us through what it takes to convert an omni-channel market, I think you're in three markets today. My guess is you'll probably plan to get to 100 to 200 markets over the year in February. Maybe you can just walk us through kind of like what it takes to actually take your legacy store model and convert it to omni-channel like what are the -- what are the technology steps, the training steps or whatever else it takes to convert the market, it would be helpful? Thank you.
Bill Nash: Okay. First of all, Chris, thanks for getting back in line for the second question. Listen, on the omni, there's two big things that have to be accomplished. I mean, we've been setting the groundwork. As I said in my opening remarks from a technology standpoint, that kind of thing, but in addition to that, we have to get our customer experience centers open, because obviously, that's a critical part of the whole omni-channel experience. So that's one of the things that we have to continue to work through, we feel good about the plan, we feel very strong about our ability to get to what we've learned out there, which is by February next year having this offer to the majority of our customers. The other thing is that there is this, we've got 25,000 associates, and as Tom talked about earlier, they are the key differentiators for us. So this is going to be obviously a big change for them. They're excited about it. And they have been super helpful as in helping us figure this out, as we've rolled it out, what we have today is better than what we had, and when we first rolled out in Atlanta, and that will continue to improve as we go forward. But we have to make sure that they understand, there's a lot of change management and what does it mean for them and how it's going to impact them and give the ability, give them the ability to adjust for that change. So those are the big things in addition to a lot of the groundwork that we've been laying and just everybody is clear. This is an iterative process. This omni-channel experience is an experience that can be every customer that's out there, it's not meant for one segment versus another segment, it's -- we should be able to serve every single customer and give them an unbelievable experience. And that requires a lot of things that we already have. So for example, the importance of our store, I can't overstate how important is that we have a physical presence, and that we continue to have a physical presence, and increase that physical presence because as we go forward, so we're leveraging a lot of things that we that we already have.
Operator: Your next question comes from Ali Faghri from Guggenheim. Your line is open.
Ali Faghri: Thanks. Good morning. Thanks for taking my question, just on the tax refunds, you called it out as a headwind in the fourth quarter based on your historical experience. You expect to get some of those loss volumes back in the first quarter as those refund levels normalize?
Bill Nash: Yes. So the way I think about that is the same way I think about whether it's a timing and generally will, will work itself back out. And as I look at February, I think probably by our best estimate, there was about seven about a week that we didn't see a tax refund benefits, just because they were delayed and coming out really until the last part of the quarter.
Operator: There are no further questions at this time. I'll now turn the call back to Bill Nash.
Bill Nash: Great. Thank you. Listen, thank you all for joining the call today. I really appreciate your support and your interest in CarMax. I also got to thank our more than 25,000 associates. Tom has talked about this, I've talked about it, they are the true differentiator for CarMax. Our associates are the ones that are bringing this new customer experience to life. I want to thank you all for what you do every single day, and we will talk again at the end of next quarter. Thank you.
Operator: This concludes today's conference call. You may now disconnect.